Operator: Good morning, ladies and gentlemen and welcome to Meten HoldingS Group's Third Quarter and Nine Months of 2021 Earnings Conference Call. Joining us today are the company’s Chairman of the Board, Mr. Jason Zhao; the company’s Chief Executive Officer, Mr. Alan Peng; and the company’s Financial Vice President, Mr. . Alan will start today’s presentation with an overview for the third quarter and the nice months of 2021 performance. Then,  will share more details about our financial performance. After the presentation, we will be happy to take any questions you may have during the Q&A session. Now, I would like to turn the call over to Alan Peng. Alan, please go ahead.
Alan Peng: Thank you for joining Meten Holdings Group's third quarter and first nine months of 2021 earnings presentation today. I will begin my remarks by providing an overview of the company's business adjustments and optimization during the first nine months of 2021 followed by a summary of the company's third quarter and the first nine months of 2021 performance. In the third quarter of 2021 we have significantly reduced a number of our offline learning centers to effectively reduce the impact of the resurgence of the COVID-19 pandemic on our offline business operations. Improved resource utilization and prepare for the company's business transformation. As a result, the number of learning centers is reduced to one or two centers in each city. With the initiation of this business adjustment, the company's performance has been relatively impacted in the third quarter of 2021. From a long-term perspective, these measures will greatly reduce the company's fixed costs, increase profit margins and reduce operational risks. Following an effective resource re-allocation, the company expects that the operating conditions and profitability of offline learning centers will be significantly improved once the COVID-19-19 pandemic situation gets better next year. In addition to adjusting the existing businesses, we are planning to launch new business strategies to explore opportunities related to the metaverse. We plan to use our offline centers to launch a new line of business for career planning and professional skills training related to the metaverse. We also plan to build metaverse communities and experience centers within our offline centers in the future. We aim to provide an enhanced interactive experience to our customers by combining the experience of virtual and real world which will increase the attractiveness of our offline centers and raise awareness of our brand. The company will actively explore overseas opportunities in the emerging industry of blockchain and crypto currency. During the past month we have established a strategic partnership with AGM Group. The company is actively seeking for opportunity in mine construction, mining and manufacturing and sales of mining machines. In addition to this, we are planning to join a crypto currency related fund as a limited partner LP to further expand our vision and seek for opportunity to invest in companies with tremendous potentials. These new business opportunities are a reflexion of the company moving to a new strategic direction for its future business development. Once new businesses are put into operation, they will generate additional revenues for the company. The company expects that with the commitment from the management and strategic transformation taking place, it will gradually grow and become a metaverse technology company in the next one to two years. Now let's look at some of the operational developments of the third quarter and first nine months of 2021 in more details. Meten Holding Group continued to invest in product development during the third quarter of 2021, leveraging several recently launched new products across both its offline and online platforms, which included four new languages; Japanese, Spanish, Korean and German product line. For the first nine months of 2021, the company's gross billings derived from Japanese, Spanish, Korean and German languages training services was RMB8.84 million or $1.372 million U.S. dollars. In the third quarter of 2021, revenue decreased 36.9% year-over-year to RMB187.9 million or $29.2 million U.S. dollars. In the first nine months of 2021, revenue decreased 10.4% year-on-year to RMB599.2 million or US$93 million, primarily as a result of the resurgence of COVID-19 and the reduction in the number of offline learning centres. In the third quarter of 2021, gross profit decreased by 49.1% year-on-year, primarily as the result of the declining gross billings. In the nine months of 2021, gross profit decreased by 7.0% year-on-year. I will now invite  to talk to you about our financial performance in more detail.
Unidentified Company Representative: Thank you, Alan. For the third quarter of 2021, total revenue amounted to RMB187.9 million or US$29.2 million, a year-on-year decrease of 36.9%. For the first nine months of 2021, revenue amounted to RMB599.2 million or US$93.0 million, a year-on-year decrease of 10.4%, primarily as a result of the resurgence of COVID-19 and a reduction in the number of offline learning centres. For general adult ELT, revenues decreased 64.3% year-on-year from RMB114.1 million in the third quarter of 2020 to RMB40.7 million or US$6.3 million in the third quarter of 2021, primarily due to the resurgence of COVID-19 and the closure of offline learning centres. For overseas training services, revenues had a year-on-year decrease of 6.0% from RMB45.4 million in the third quarter of 2020 to RMB42.7 million or US$6.6 million in the third quarter of 2021. For general adult ELT, revenues decreased 17.7% year-on-year from RMB227.2 million in the first nine months of 2020 to RMB187.0 million or US$29.0 million in the first nine months of 2021. For overseas training services, revenues increased 38.4 year-on-year to RMB119.6 million or US$18.6 million in the nine months of in the first nine months of 2021, from RMB86.4 million in the first nine months of 2020. For junior ELT, revenues decreased from RMB60.0 million in the third quarter of 2020 to RMB24.8 million or US$3.8 million in the third quarter of 2021, primarily due to the resurgence of COVID-19 and the impact of the double reduction policy. For junior ELT, revenues decreased from RMB115.2 million in the first nine months of 2020 to RMB73.1million or US$11.4 million in the first nine months of 2021. For online ELT, revenues increased 0.3% from RMB76.1 million in the third quarter of 2020 to RMB76.4 million or US$11.9 million in the third quarter of 2021. Revenues decreased 10.3% year-on-year from RMB232.4 million in the first nine months of 2020 to RMB208.6 million or US$32.4 million in the first nine months of 2021. This slight decrease was mainly due to the fact that the company’s online ELT businesses reached the peak as a result of the COVID-19 in the same period last year. In the third quarter of 2021, our operating costs which consists primarily of staff costs, property expenses, depreciation and amortization et cetera, decreased by 27.9% from RMB171.8 million in the third quarter of 2020 to RMB123.8 million or US$19.2 million. In the first nine months of 2021, operating costs decreased by 12.0% to RMB398.2 million or US$61.8 million from RMB452.6 million in the first nine months of 2020. Gross profit for the third quarter of 2021 decreased by 49.1% year-on-year to RMB64.0 million or US$9.9 million. In the first nine months of 2021 gross profit decreased by 7.0% year-on-year to RMB201.0 million or US$31.2 million due to the decline in gross billings. As a result gross profit margin for the third quarter of 2021 decreased by 8.2 percentage points year-on-year to 34.1%. Gross profit margin for the first nine months of 2021 increased by 1.2 percentage points year-on-year to 33.5% Selling and marketing expenses in the third quarter of 2021 amounted to RMB61.7 million or US$9.6 million representing a decrease of 27.7% year-on-year. Selling and marketing expenses in the nine months of 2021 amounted to RMB209.3 million or $32.5 million representing a decrease of 6.9% year-on-year. Research and development expenses in the third quarter of 2021 decreased by 49.0% year-over-year to RMB3.2 million or US$0.5 million from RMB6.3 million in the third quarter of 2020. R&D expenses in the first nine months of 2021 decreased by 50.0% year-on-year to RMB10.7 million or US$1.7 million from RMB21.5 million in the first nine months of 2020. General and administrative expenses in the third quarter of 2021 increased by 76.4% year-on-year to RMB165.8 million or US$25.7 million from RMB94.0 million in the third quarter of 2020. General administrative expenses in first nine months of 2021 increased by 38.3% year-on-year to RMB310.3 million or US$48.2 million from RMB224.4 million in the first nine months of 2020. This increase was primarily due to the increase in the impairment loss of goodwill and share based compensation expenses. For the third quarter of 2021 loss from operations was RMB166.8 million or US$25.9 million, compared to a loss from operations of RMB59.8 million in the third quarter of 2020. For the first nine months of 2021 loss from operations was RMB329.4 million or US$51.1 million compared to a loss from operations of RMB254.7 million in the first nine months of 2020. For the third quarter of 2021, net loss was RMB175.3 million or US$27.2 million compared to a net loss of RMB39.7 million in the third quarter of 2020. For the first nine months of 2021 net loss was RMB345.0 million or US$53.5 million compared to a net loss of RMB234.8 million in the first nine months of 2020. And finally, as of September 30, 2021, Meten Holding Group had RMB279.9 million or US$43.4 of cash and cash equivalents. I'll now turn the call over to our Chairman Jason, who will provide an update on Meten Holding Group's outlook.
Jason Zhao: As an online, offline training organization that provides comprehensive workplace training services, Meten Holding Group is actively exploring merging business opportunities in the field of metaverse, blockchain and cryptocurrency, which are the strategic directions for us to approach. As mentioned previously, the company expects to develop and become a metaverse technology company in the next one to two years, looking forward while maintaining our competitiveness in the training service industry. Given by our commitment of continually developing new technologies, we aim to take advantage of these developments to further explore the various possibilities in the metaverse field.
Operator: Ladies and gentlemen, this concludes our presentation for today. We will now take any questions you may have.
Operator:  The first question comes from David Johnson . 
Unidentified Analyst: I have got two questions. So first question is, can you share more information regarding the situation of the company’s premium service?
Alan Peng: Okay. So, recently our training businesses have been affected a lot by the COVID-19 epidemic. The epidemic will hit different cities at different times and because of that, whenever that happens, we had to close our -- the center according to the government regulations. Furthermore, some centers have been affected by the double reduction policy, which affected the desire of some parents to continue to have their children study English in some of our centers. In order to face this challenge, Meten Holding Group has decided to reduce the number of centers and to make sure that the number of centers in each city should be one to two. In the third quarter this way of doing things has actually, has proven successful and the only centers that we have left are all stronger centers. Furthermore, we are also thinking of not only providing English training services, but also help with people in their career development, and as well as help with them on how to use the metaverse in the future. And this will be one of our priorities in the fourth quarter.
Unidentified Analyst: Okay, thank you for sharing that. So my second question is, your company is actually exploring the opportunity to develop our metaverse sales, so can you share more information regarding this?
Alan Peng: Okay, so in the third quarter, we have continued to explore different opportunities. One of the most interesting one is the one related to the metaverse. We believe that in next 20 years, there will be a lot of new opportunities and challenges related to this exploration to this type of technology. We believe, and this is why that we have used this opportunity in the third quarter to announce that we would be changing our model and prioritizing training related to how to make use and take advantage of the metaverse, how to develop abilities and skills related to this and even develop new careers related to the metaverse. We are also looking at cryptocurrency and mining and a lot of these other technologies because we believe that using all of this, we will be able to bring our company into a new level. We are going to have like new technologies. We will have new models and we will have a lot of new business opportunities.
Operator: The next question comes from Roma  of  Capital, please go ahead. Thank you.
Unidentified Analyst: Yes. Good morning. I wanted to inquire about the metaverse trading business in the future. What date do you think that that might begin generating revenues and begin operations and also how do you go about recruiting professors, teachers for that business? Thank you.
Jason Zhao: Okay. So, as for basically right now we have a lot of, there's a lot of ideas coming on. We are, we believe that with cryptocurrency or use of the metaverse, there will be a lot of demand for training and learning of how to take advantage of this. Right now in China, we have over a million of people who are actually trying to find opportunities and or we actually have a million job opportunities that are missing. Now, when it comes to how to recruit teachers, Alan said that actually, we are going to be using a lot of ways. One of them is we have partnerships with people in China, as well as in universities and platforms all around the world. We are also able to take advantage of our platform to hire newly graduates and we of course also have access to a lot of forums where we have a lot, there are a lot of professionals. And so that's the second part of this answer.
Unidentified Analyst: Thank you very much.
Operator: That's all for Meten Holding Group third quarter and the nine months of 2021 earnings conference call. If you have any further questions, please contact our IR team directly. Thank you all for joining us today. 
Jason Zhao: Okay, thank you everyone. See you.